Operator: Good morning, ladies and gentlemen, and welcome to the Siemens 2023 Third Quarter Conference Call. As a reminder, this call is being recorded. Before we begin, I would like to draw your attention to the safe harbor statement on Page 2 of the Siemens presentation. This conference call may include forward-looking statements. These statements are based on the company's current expectations and certain assumptions and are therefore subject to certain risks and uncertainties. At this time, I would like to turn the conference call over to your host today, Ms. Eva Scherer, Head of Investor Relations. Please go ahead, madam.
Eva Scherer: Good morning, ladies and gentlemen and welcome to our Q3 conference call. All Q3 documents were released at 7:00 a.m. this morning and can be also found on our IR website. I'm here today with our CEO, Roland Busch; and our CFO, Ralf Thomas, who will review the Q3 results. After the presentation, we will have ample time for Q&A. With that, I hand over to Roland.
Roland Busch: Thank you, Eva. Good morning, everyone, and thank you for joining us. Let's begin with the highlights of our third quarter. I'm pleased we continued our path of profitable and value-creating growth and demonstrated again, competitive strengths across all our businesses. This is well reflected in our strong top-line performance. Revenue reached almost €19 billion up by 10%. Growth was broad-based with digital industries, smart infrastructure and mobility all contributing double-digit. Smart infrastructure was standing out with 15% revenue growth. Siemens Healthineers was up 10% excluding effects from antigen tests in prior year. Our digital industries automation business grew on a high level by 15% outperforming most peers. Smart infrastructure continued to show great competitive strength. For example, the electrification businesses grew by 22% with strong momentum in power distribution and data centers. Over the last month, I have met many customers from various industries across the globe to discuss how to accelerate their digital transformation and sustainability journeys. Our customers trust in our technology. Execution capabilities and vertical domain know how will enable us to benefit over proportionally from secular investment trends in the years ahead. As expected, industrial customers and distributors are now normalizing their order patterns in the short-cycle product businesses and adjusting inventory levels on east supply chains. This normalization of demand continued in the third quarter and was clearly visible in the order development of our short-cycle businesses, most notably in China but also in Europe. Software order development and de-stocking had some knock-on effects. Less short-cycle book and bill business for specific products and some delivery postponements prevented even higher revenue growth in digital industries China's market recovery in manufacturing is materializing slower than expected and we anticipate some further subdued development. Besides the macro situation, this is also depending on the timing and implementation of governmental stimulus activities and the private consumption to pick up. On group level, orders at €24.2 billion grew 15% and were driven the highest ever quarterly order intake of mobility. It was north of €8 billion on several large orders. I also want to highlight robust demand at smart infrastructure on par with a strong prior year. Book-to-bill reached an excellent level of 1.28, pushing backlog again higher to a record level of €110 billion. Stringent backlog execution and revenue growth converted into strong industrial business profit of €2.8 billion, both DI and SI operated at high profitability levels of 21.1% and 15.6% respectively. What sets us apart from many peers is excellent cash generation. €3.1 billion for our industrial business is a stellar accomplishment. Disaster transition in digital industries is fully on track with cloud ARR approaching the mark of €1 billion, representing a share of total ARR of 27%. Annual recurring revenue growth was at 14% again in Q3. While delivering on financial performance, we consistently make progress in executing our strategy. We have presented a targeted €2 billion investment strategy to boost further growth, innovation and resilience. In addition, we made further progress in optimizing our portfolio. The Global Motors and Large Drives Champion Innomotics launched its brand and achieved an important milestone as it is now legally separated in Germany. As for our Siemens energy investment, we took the next step to lower our stake in Siemens energy AG to 25.1% by transferring 6.8% to the pension trust. And we will continue to further wind down our stake in Siemens energy. It goes without saying that the repeated massive losses and quality issues in the wind business of Siemens energy are a major disappointment. After a strong performance year-to-date, we will continue to focus in the fourth quarter on our execution strengths to leverage the large order backlog and maintain a continuing net positive economic equation. Therefore, we confirm our guidance on group level for fiscal year 2023. Revenue growth of 9% to 11% and EPS pre-PPA excluding Siemens Energy investment 9.60 to 9.90. And Ralf will give you further details later. Here are the key numbers at a glance. Let me briefly touch on two more topics. Industrial business profit margin came in at a healthy level of 15.3%. Our operational strengths resulted in an EPS prePPA at €2.60 when excluding Siemens energy investment. EPS prePPA as reported reached €1.78. Our substantial order backlog stands at a record level of €110 billion further fueled by strong demand for our system solution and service businesses. As I mentioned, customers of our short cycle product businesses and digital industries and smart infrastructure continued their return to normal patterns. They intensified de-stocking due to shorter lead times and improved component availability. This trend will continue in the quarters ahead and gradually bring down order backlog in the short cycle businesses and systems to more sustainable levels. For both smart infrastructure and digital industries, they expect backlog levels will still be elevated at the start of fiscal 2024. We will continue to focus on our excellent execution capabilities, including successful management of our supply chain and flexible manufacturing processes. Let me emphasize that our mid and long term secular market growth trends are fully intact. There might be some quarters with more volatile macro developments ahead of us, but the demand for higher automation and digitalization as well as more sustainable product and solutions will increase. We see a drastically shrinking labor force in many countries, most notably in China, with a decline of more than $50 million people in the labor force by 2040. In addition, there is a need for further electrification, resource efficiency and decarbonization of industry, mobility and infrastructure, as well as more resilient and diverse manufacturing structures. This can only be tackled with a much higher degree of automation and digitalization. This will trigger substantial investments also fueled by governmental programs across the globe. Countries and companies with the highest implementation speed will be most successful. To tap this potential, we presented a €2 billion euro investment strategy for new high tech factories, expansion of capacities, innovation labs and education centers, which we have been unveiling through this year. These investments double down on our highly competitive operations and our global presence to support growth in the most relevant markets. In the third quarter, we made three major announcements to expand our resilient footprint and enable future growth for digital industries throughout the current decade. In Singapore, we will build a highly automated and digitalized factory for factory automation to meet the growing demand in Southeast Asia. The factory will be completely digitally developed in the metaverse with substantial savings of planning and operational costs. It will create [400] jobs and start of production is planned for autumn 2025. Our factory in Chengdu, as the twin factory of Bamberg in Germany, has continuously grown since its start of operations in 2013. To support our local for local strategy and maintain our leading market position in China, we will further expand capacities by up to 40%. The ambition of the Chinese government to further upgrade manufacturing and more than 360,000 small and medium-sized enterprises in this area will offer ample opportunities to drive automation and digitalization.  In the third pillar, we announced a 500 million investment to build a new net zero emission technology campus in Erlangen. We will transform and expand today's world-class site for development and production of machine tool controls and power electronics components until 2029. This campus will become the nucleus of our global technology activities around the industrial metaverse. The goal is to collaborate in a strong ecosystem of partners to revolutionize production in the future more efficiently, flexibly and sustainably. A key lever is applying core technologies such as artificial intelligence, large language models and additive manufacturing at scale. Further investment plans in the U.S. to foster growth in smart infrastructure will be announced in due course. The smart infrastructure team together with digital industries has done an excellent job over the past years by bundling capabilities and teams to expand our global data center business. Key for success are predefined standards for the full range of low and medium voltage electrification, building automation and services. They can be tailored to specific customer needs to optimize reliability, energy efficiency and life cycle costs. A good example is the Greener G data center in Estonia where we implemented the most sustainable data center in the Baltics with AI optimized cooling management. Further important components of our offering are life cycle services and financing solutions from Siemens financial services. We are gaining market share in this highly attractive market with annual growth rates of around 25% in the last two years. By far the largest market is the U.S., home of many hyperscalers, which are our largest customers and where we see tremendous opportunities. Accelerated use of generative AI applications will give demand a boost in coming years, as for example Google highlighted recently. We continue to see steady progress with the strategic transformation of main parts of our DI software business towards software as a service. Let me highlight just a few proof points. As I mentioned before, the transition is fully on track with share at 27% and almost €1 billion in cloud ARR. More than 9,200 customers have signed on to the software as a service business model, including a further increasing share of small and medium enterprises. Among the SaaS customers are 76% new logos, clear evidence of our ability to expand our existing customer base. Customer transformation rate reached a new quarterly high of 94%, proving the attractiveness of our offering. We will continue to invest in and drive the transformation. Our digital business remains on a strong growth trajectory and stands at €5.1 billion after the first nine months of the year. We are well on track to exceed 10% growth for the full year, despite the ongoing SaaS transition in digital industries. Growth will be further supported by continuous expansion of our Siemens Accelerated Digital Business Platform. For example, with our portfolio, we combine our leading printed circuit board design and analysis technology, a key part of our EDA offering, with supply frames designed to source intelligence platform. This platform comprises real-time availability and lead-time data for over 600 million component parts. This new solution enables our customers to reduce cost, increase agility and make better component decisions at the point of design. A core driver for the energy transition is active management of the low-voltage power grid by distribution grid operators. As an industry first, our low-voltage Insight X software tackles exactly these requirements. How to increase power grid capacity in existing fast-changing networks through insights on critical segments and by reducing outage times? A digital twin of the low-voltage grid reduces data handling efforts and optimizes planning activities. And we continuously strengthen our offering with acquisitions. A good example is the addition of opt-rails, unique algorithms to our HACON train planning system offering. Achieving sustainability impact is at the core of our customers' requirements. Pfizer's new high-containment plant in Freiburg is a great example of how we bring core technologies, vertical domain know-how and collaboration across Siemens together to drive sustainability and achieve superior customer value. Software and automation solutions for clean room production are combined with smart building management and services. As a result, the plant operates paperless and consumes 40% less energy while maintaining the highest product and employee safety standards. With this new plant, Pfizer is now able to produce up to 12 billion pills per annum at the location up by 7 billion pills. There is significant potential for us with European and U.S. reshoring activities for plants that handle active pharmaceutical ingredients. Making aviation more sustainable is the goal of MAV aerospace from the Netherlands. Like many other aerospace innovators, they use a broad range of our design and simulation software to develop the next generation, all-electric zero-emissions commuter aircraft. And let me finally highlight two large orders in mobility where our digital service solution, Railigent-X, for remote condition monitoring and data analytics played an important role. In England, we were awarded an eight-year service contract extension worth €530 million from new rail operator Transpennine. A large fleet of 20-year-old trains was digitally upgraded and Railigent-X, from our Siemens Accelerate portfolio, will enable to offer best possible customer experience and availability. Also enabling optimization of total lifecycle costs for fully connected and energy efficient trains. This was a key argument for S-Bahn Munich to choose Siemens as a partner for its 2.1 billion investments to modernize and expand its fleet. The trains have a capacity of 1,800 passengers replacing over 1,500 cars during rush hour. We are steering Siemens for mid- and long-term success and enable our customers to achieve more with less. At the same time, we drive profitable growth and cash generation for sustainable value generation. And with that, over to you, Ralf, to give you further details regarding our operational performance and outlook for the fourth quarter.
Ralf Thomas: Thank you, Roland, and good morning to everyone. Let me share further details of how we drove profitable growth and leading cash generation across the businesses. In digital industries, we saw continued normalization of order patterns on accelerated levels in our short cycle automation businesses in the third quarter. OEM customers and distributors in particular in China expedited the adjustment of inventory levels under the assumption of further shortening lead times. Combined with substantial revenue momentum, this led to a further consumption of order backlog in automation. As macro indicators such as PMI suggest, short-term investment sentiment has softened somewhat in some of our core industries. Orders for DI in total were down 35% at €4.1 billion on very tough comps with a book-to-bill for DI overall of 0.77. Year-to-date book-to-bill stands at healthy 0.98. Main driver for order normalization were the distribution while process automation was down in the mid-20s. The software business was up mid-single digit, benefiting from larger contract wins in the PLM business while EDA saw some project shifts into the fourth quarter, which also affected revenue recognition, obviously. As a result, our substantial backlog in digital industries decreased to a still elevated level of €12.5 billion. Of this, automation was €8.1 billion, around €1.5 billion lower compared to the second quarter as expected. Customer cancellations continued to be on a very low level. Revenue for DI was significantly up by 11.5%. Automation revenue rose 15%. Discrete automation was up 14% while process automation even topped this performance at 19% revenue growth. Software was slightly up by 1%, whereas PLM was up in the low teens, EDA was lower in the mid-teens. Growth in the quarter was below our initial expectations, predominantly driven by a software development in China and aforementioned project shifts in EDA software. Main reasons, especially in China, were lower order intake for fast turning book and bill products and to a lesser extent postponements of deliveries by end customers and distributors to optimize their inventory levels. These patterns are very hard to predict and we may experience some more quarters of erratic volatility like this during this phase of unwinding from still elevated backlog levels. Component availability improved further, especially for high margin products and the teams did a great job to run the factories at high utilization again. Risk for shortages are now limited to a few components while we keep close attention to maintain supply chain excellence. The resulting shortening of delivery times drives the accelerated unwinding of backlog as well. Digital industries overall margin at 21.1% was again a very high level on strong profit conversion from revenue growth. Once more, performance was driven by the automation businesses while software had a softer quarter due to the ongoing SaaS transition as well as project shifts in EDA as mentioned before. Software performance is expected to sharply improve in the fourth quarter on material top line growth in EDA where we see an unprecedented accumulation of customer projects in the sales funnel. In the automation businesses, execution was excellent with strong profit conversion across the board on high volumes. High capacity utilization came with a favorable mix on improved availability of components for high margin products. Productivity gains and price increases from previous quarters, which materialized now through backlog conversion and enabled us to overcompensate cost inflation again in the quarter, although we see effects from higher wages and other cost dynamics to increase over the next quarters, we are very confident to keep the economic equation net positive in the fourth quarter again. Cloud investments accounted for €73 million in the third quarter amounting to 140 basis points of margin impact on digital industries. We continue to expect around €300 million of cloud investments for fiscal '23 in total. The DI team once again clearly outperformed competition and delivered another outstanding free cash flow of €1.1 billion and a cash conversion of 0.99 well above the targeted level of one minus growth. Operating working capital in particular inventories is intentionally still on elevated levels to safeguard high quality revenue growth. This overview gives you a longer term perspective of how massive the pre-ordering led to an exceptional situation of elevated short cycle order backlog. As we have already discussed, normalization from this high level due to shortening lead times is a necessary and healthy development. We expect around €4.5 billion of DI's backlog to convert into revenue in the fourth quarter of fiscal '23. This will contribute, as indicated before, to a book-to-bill rate below one, resulting in a further reduction of order backlog in automation while software will partially compensate. We anticipate the normalization of order patterns and de-stocking to continue in the fourth quarter and into fiscal '24. Nevertheless, backlog levels at the end of fiscal '23 will still be materially elevated from a long term perspective and will provide corresponding visibility into fiscal '24 with potentially erratic quarterly patterns to continue. Looking at our key vertical end markets for the next quarters, we expect a moderation of market growth momentum on high levels, partially driven by effects from de-stocking and fading effects from price inflation. Our teams are very close to our customers and our markets, and while they also see a short-term softening of investment sentiment, secular growth opportunities for automation remain intact. Now let me give you the regional perspective on our top-line automation performance. As mentioned, automation orders normalized against tough comps of extraordinary growth in the previous two years. Especially in fiscal '22, orders had benefited from material pull-forward effects as discussed back then, most notably visible in China and in Europe. As expected, the start into the fourth quarter is signaling further normalization along the lines described before. Strong revenue growth in automation was broad-based across regions except for China. China delivered flat revenue growth on increasing tougher comps and significantly lower fast-growing book-and-bill business. Germany, up by 19%, showed strength in discrete automation, and Italy was up by 27% on strength across the board. In the US, both discrete and process automation continued to grow double digits. Looking ahead, our teams are fully committed to further leverage improved global component availability for stringent backlog conversion to meet customer expectations. Since digital industry saw faster normalization of demand and de-stocking in the third quarter, which we expect to continue in the fourth quarter, we adjust our guidance for revenue growth to 13% to 15% for the full fiscal year '23. Correspondingly, we adjust the profit guidance to 22% to 23%. From today's perspective, for the fourth quarter, we anticipate that the eye will achieve revenue growth below the new guidance range on tougher comps. Furthermore, we expect the profit margin to be in the updated range. As indicated, key driver for growth and profitability will be the software business with material top line and bottom line improvement on a massive boost in the EDA business while the PLM business continues to be affected by the ongoing soft transition. Now let me turn to our poster child smart infrastructure. The SI team again achieved a truly outstanding third quarter performance across all matrix. The team increased its back long again to a record level of 16.5 billion in robust end markets. Top line growth demonstrated competitive strength. Profitability was again at the upper limit of the target range combined with excellent cash conversion. In total, orders were closed to the very high prior year level driven by an excellent 14% growth in electrification business. It was fueled by a steady flow of larger orders based on scalable solutions with customers in the data center, battery production and power distribution area, clearly benefiting from secular trends of decarbonization and electrification. Electrical products orders were 11% lower on normalizing demand trends against tough comps while buildings were down by 5% . This led to a very healthy book-to-bill of 1.09. Revenue growth reached remarkable 15% with the largest contribution from the electrification business up by 22% and electrical products up by 16%. Once again, the teams very successfully managed their supply and logistic chains. As a result, this was smart infrastructure's best third quarter ever on flawless execution with a margin performance of 15.6% at the upper end of the target corridor up by 270 basis points year-over-year. As I benefited from economies of scale and increased capacity utilization based on strong revenue growth, as well as ongoing structural cost improvements from our competitiveness program. Headwinds from cost inflation, mainly from moderate increases were again over compensated by productivity and pricing actions which we expect to continue in the fourth quarter. As I maintained, it's part of outstanding cash generation with an excellent cash conversion rate of 0.95 despite substantial revenue growth. Operating working capital increased on higher receivables due to rising top line while inventory levels were stable sequentially. We anticipate the ongoing strong cash performance in the fourth quarter of fiscal '23. We continue to see nominal and real-term growth in all key verticals still fueled by backlog execution and better pricing. However, commercial buildings is expected to further decelerate to low single digit growth due to a global environment of rising interest rates. Power distribution proceeds to show strong growth rates on ongoing renewables expansion, higher EV adoption and increasing electrification. And as Roland said, continued rising use of cloud solutions and AI applications is driving investment in the data center market. Now looking at the regional top line development, for new orders, we saw robust demand on high levels with strong order momentum and large projects in the U.S. Germany was down 5% with strengthening electrification and weaker electrical products on tough comps. China was down 13% on slow economic recovery and softness in commercial buildings. Revenue increased double digit across the board with a most impressive 22% growth again in the U.S. on strong backlog execution in the electrification and electrical product business. Smart infrastructure continues its impressive track record of consistent performance and we confirm the full year guidance of revenue growth of 14% to 16% and a profit margin of 14.5% to 15.5%. In Q4, we see demand further normalizing in the product businesses where customers optimize their inventory levels. Order momentum and electrification is anticipated to remain strong. For the fourth quarter, we see revenue growth around 10% on increasingly tougher comps and profit margin within the full year guidance range strongly supported by order backlog conversion. Mobility delivered a quarter to remember, orders at €8.3 billion marked an all-time quarterly high. It included the previously mentioned major win of S-Bahn Munich and after financial closing also the green line in Egypt which led to an exceptional book-to-bill of 3.25. The team is also working hard to achieve the next milestones for the red and blue line in Egypt. We will update you on the progress with our outlook in autumn. After two quarters with exceptional order intake, we see the fourth quarter rather around prior year level. Mobility's backlog stands at €44.5 billion with €12.5 billion of service volume therein. Revenue in Q3 was up 12% on double digit growth in rail infrastructure and rolling stock. Profitability at 8.1% rose in line with expectations supported by higher revenue. Prior year performance included several one-off effects such as the Yunex divestment gain, Russia wind down effects and an asset impairment totaling 24.7 percentage points. Mobility achieved a massive catch up in free cash flow with more than €700 million after a softer first half year. This included major project milestone as well as advanced payments in rolling stock and rail infrastructure leading to an impressive cash conversion rate of 3.40. In the fourth quarter we expect another strong performance for free cash flow generation a clear sign of competitive edge in this industry. We confirm our outlook for revenue growth in fiscal ‘23 to be in the range of 10% to 12%. The profit margin guidance remains unchanged at 8% to 10%. Our assumption for revenue growth in the fourth quarter is in the mid single digit range on further stringent backlog execution. Fourth quarter margin is expected in the guided corridor between 8% and 9%. Let me keep the perspective crisp on below industrial businesses. More details are in the earnings bridge on page 26 in the appendix of our presentation. Siemens financial services is very well positioned and continued its impressive resilient performance in a volatile credit environment. The team delivered a strong quarter also benefiting from a high contribution of the equity business. I'm very pleased with the performance of our portfolio companies further improving operational performance in particular at large drives. The announced global carve-out of the combined Innomotics business is making good progress and will be materially completed by October 1 this year. The development of our Siemens energy investment is extremely disappointing as Roland mentioned already. We recorded a massive loss of €647 million. Main effects were the equity participation in the after-tech loss of Siemens energy partially offset by a gain of €318 million from the transfer of a stake of 6.8% to the Siemens pension trust. With this transaction our stake in Siemens energy is now down to 25.1% with a carrying amount of €2 billion roughly equaling around €10 per share on June 30. The ultimate yardstick for excellent performance no doubt is free cash flow and our performance is clear evidence that we do what we say with free cash flow of more than €3 billion from the industrial businesses almost fully trickling down on group level. Strong profit development converted into excellent free cash flow well above prior year. Operating working capital was slightly up on growing business volumes in DI and SI partly compensated by advanced payments in mobility. Excluding the non-cash Siemens energy effects cash conversion on an all-in basis reached an outstanding level of 1.41. And looking ahead we are confident that in fiscal '23 we will exceed our strong free cash flow performance of the two previous years both above €8 billion . Our tight grip on working capital and consistent cash conversion provides tailwind for a rock solid capital structure with an industrial net debt over EBITDA ratio of 0.8 now well below the upper end of our targeted level. An important component is the beneficial development of the pension deficit which continues to be on a historic low a good message for our employees as well. Our continuing strong operational and cash performance was recognized with a rating upgrade by Moody's to AA3 well above our peer group. A pleasant privilege to have in times of rising interest rates. Let me conclude with our outlook for the group which we raised already twice this fiscal year. Our teams have continued to do an excellent job on converting our backlog into revenue and drive profitability. Since the outlook of Siemens energy is not in our control we have decided to exclude all effects from Siemens energy from our Siemens group outlook. In the first nine months Siemens energy investment contributed €902 million to net income. For the Siemens group we continue to expect comparable revenue growth in the range of 9% to 11% and a book to bill ratio above one. We continue to expect the profitable growth of our industrial businesses to drive an increase in EPS pre-PPA to a range of €9.60 to €9.90 in fiscal ‘23. Furthermore this outlook as always excludes burdens from legal and regulatory matters. With that I hand it back to you Eva and we will be happy to answer your questions.
Eva Scherer: Thank you Ralf. We are now ready for Q&A. Please limit yourself to two questions per person. We want to give as many of you as possible the opportunity to raise questions. Operator please open the Q&A now.
Operator: [Operator Instructions] The first question comes from the line of Alexander Virgo, Bank of America. Please go ahead.
Alexander Virgo: Yes, thanks very much for taking my questions. Good morning Roland, Ralf and Eva. I wonder if you could talk a little bit to the dynamics through the quarter particularly in China which led to such a dislocation I guess between the original expectations of growth which led to the guidance upgrade from 12 to 15 to 17 to 20 and then perhaps just clarify a little bit around how you've seen that develop into the fourth quarter as you alluded to a little bit on the call. I wonder if you could just develop that for us a little bit. Thank you very much.
Ralf Thomas: We'll be happy to do so Alex. Let me I mean clearly spell out we have been not able to meet our ambitious plan at DI top line development. We always said that this will very much depend on the momentum in China picking up in the second half of the calendar year and that was I think also the overarching view of the market back then. What happened, I mean first -- in the second half of the third quarter there was a sharp drop in new orders in China in particular in the automation business and this has been also affecting what we call book and bill business. As discussed a couple of times in the last couple of years you do know that about 20% to 40% depending on the nature of the individual business of each and every quarter's revenue is so-called book and bill orders that come in and are executed and turned into revenue in the same quarter. So that pattern typically holds as I said between 20% and 40% in the second half of the third quarter however that pattern was massively has been massively changing. We didn't see any further cancellations that may be important for you as it is important for us. We still see levels around 1% in some tourist in some geographies maybe two or so but not really on a material level and no trend that is of any concerns to us. We saw push outs in China being on elevated levels. They have been building up to give or take 5% of the revenues of that particular quarter which is fairly high and as we said before not referring to China but the software projects on the EDA side that have been moving into the fourth quarter it's a timing difference and is making that fourth quarter a very heavy loaded EDA quarter. I have been mentioning that before. Now talking about the situation in China a bit more in particular. I mean the fact that we do see the biggest part of our -- biggest portion of our distributors stock levels very clearly. We are still sitting on fairly high levels in terms of turns. It's still on 12 weeks of reach at the moment. What we typically head before COVID and the extreme new orders that we have been experiencing throughout the last two years the typical normal back then was rather between six and eight weeks so there is still a lot of incremental assets sitting at our distributors. We also have been seeing that our channel partners in China are very much optimizing their own inventories and also take into consideration the fact that they need to allocate their capital and cash. So in the wake of probably no clear signals yet when and how Chinese government is going to have impact on the situation ahead they are rather conservative with incremental spending and sitting on that elevated level of stock in their own inventories in the distribution channels. I think that is also a psychological matter that cannot be properly predicted. That's why I said there will be erratic patterns on the way forward until we have a clear view how the market is going to develop there. What we also are very carefully looking at is obviously the pricing situation. There is pressure in the market but as a market leader with a clear leading edge in technology we stand firm and I think with that unwinding of that extraordinary high level of the backlog we still have meaningful visibility on the way forward even not having a proper grip on a quarterly pattern but what is very important no major cancellations so that also means implicitly acceptance for the price levels that we do have. So talking a bit about the second part of your question that dynamics on the way forward, I mean it's obvious that it's hard to predict as I said what the quarterly impact is going to be but from today's point of view I would expect new orders for the automation business globally going to be pretty much on the level of the third quarter maybe slightly below but we also need to bear in mind that the prior year's third quarter was at very high levels. We had been [Technical Difficulty]
Eva Scherer: Ladies and gentlemen please hold the line. The conference will continue shortly. Ladies and gentlemen please hold the line the conference will continue shortly. Thank you. Hello, I hope you can hear us again. I apologize for the interruption. The line got disconnected, but I will hand it back to Ralf now.
Ralf Thomas: Thank you Eva and apologies also from my side. I think we got lost at that point in time when I wanted to talk a bit about the sequential development, third quarter to fourth quarter. And I started to point out that we do expect from today's perspective for the fourth quarter, automation globally, pretty much the same levels as we saw that in the third quarter, maybe slightly below. What we need to bear in mind is that the prior year's third quarter was pretty tough comps. It had been growing back then year-over-year by 35% to 5.3 billion. In the fourth quarter of prior year, we had 3.8 billion. Which was slightly down compared to the then prior year's quarter by 6%. So on a year-over-year growth expectation for new orders, fourth quarter, current fiscal year, I would assume we will have, give or take the levels of the third quarter. With regard to revenues, as mentioned before, with the erratic patterns of book and bill impacts in China, which we cannot predict properly, I would see ourselves also around with the tougher comps of prior year, which was 4.3 billion back then at a growth rate of 23% pretty much on par of levels of the second and the third quarter of the current fiscal year. This is automation. What we said and what I would like to underpin again, there will be dynamics from the industrial software business in the fourth quarter. We have a very strong funnel, which has been already partially materializing in the fourth quarter with a margin rich EDA business, which is going to be very contributional to the fourth quarter profit development for DI globally. I hope that is giving you some color, Alex.
Alexander Virgo: Thanks very much, Ralf, I appreciate that, very detailed.
Operator: Next question comes from the line of Ben Uglow, Morgan Stanley. Please go ahead.
Ben Uglow: Good morning, everyone, and thank you for taking my questions. So a couple, Ralf, on the channel, the inventory situation, you very kindly gave us the number for China, I need 12 weeks or let's call it roughly double what may be normalized. Can you give us a sense sort of going around the world? If you have to say, where are we in inventory levels in automation in the U.S. and Europe and in particular Germany, could you just give us a sense on where that is? And then the second question, I guess, is this step down during the quarter and within China, and you mentioned in your outlook that investment sentiment was a bit weaker and we should prepare for some volatile quarters. How much of this is just China or have you actually seen a change in sentiment in Germany, Italy, or the U.S.? Thank you.
Ralf Thomas: Thank you, Ben, for that question. I mean, this is an area we gave a lot of thought and I have been just talking to our Chinese colleagues last night before I went to bed. You can imagine this is very much up on our agenda. And so the Chinese situation with give or take twice the levels of inventory in the distribution channels is not the average worldwide, obviously, just first putting a bit into perspective, DI in China is around 25% of global business and for automation, it's even a bit higher, give or take 30%. Therefore, distributors and channel management in China is getting utmost attention, still all the erratic aspects I mentioned before are applicable. If I compared that to Germany, it's completely different. The number of distributors is by far not that big and we also do have a pretty stable environment when it comes to the ordering process and ordering patterns in Germany. Still Germany can and may be affected because Germany obviously is delivering into China as an export country directly and also via the products of our customer industries in Germany. So therefore, it's very tricky to make a meaningful statement on that one in Germany, but I think it's fair to say that we don't see that high level of erratic patterns, never saw by the way, and also the fact that the down payments in China that we have been asking for in the past has been, of course, putting additional attention on the one hand side, onto our distributors on the other side. It has been giving and is giving us a lot of confidence and this is why I mentioned time and again that the cancellation rates are important for us as long as we hold money of our distributors in our hands. I think it's a question of timing and not of the if there will be deliveries one day. So Germany, I do think if you had, if you made that same comparison, there is of course a bit more inventories in the channels, but this is not subject to those erratic patterns that we saw in China and may see on the way forward. U.S., I have to say, unfortunately, is a completely different picture because the portion of the eye business in the U.S. is only between 12% and 15%. We do see extra audience momentum in the industries in the U.S. We also have been emphasizing that when we went through, went you through our geographies. So there, I think it's still the normal process of just getting down with delivery times. I wouldn't expect major surprises in that part of the world. And Italy, even though also being an export nation, is rather geared to the U.S. patterns than to China in most of the industries. But I also would say that the erratic momentum will not be on those levels that we saw in China. So predictability is by far better there, but there is elevated stock levels maybe 20%, maybe 30% above that what used to be normal. The unwinding there, however, as I said, is following rather the U.S.-oriented export industries and therefore that will be more gradually than in step functions. So this is, I think, the best I can contribute, Ben.
Ben Uglow: That's super helpful, thank you. And just on the investment sentiment comment, is that really you were talking about what happened in China in the quarter?
Ralf Thomas: I mean, it's hard to tell, to be honest, because the investment sentiment is a sum of many different investment sentiments throughout the industries, as Roland has been elaborating on already. I mean, on the consumption side, there was a massive change also in the savings ratio that is out there. What we do see and what we also do expect to happen, Chinese government may consider or reconsider the intensity of the measures they took on the way forward. They will definitely support growth momentum along the lines that they have been guiding themselves with GDP growth, give or take a quarter, I don't know. But it will definitely mean that there will be investments in high quality industries and also mid and long-term into sustainability. And we are a key provider for high quality industries. And as mentioned many times before, but I would still like to repeat that, China will depend on automation on the way forward with a decreasing workforce that is visibly having impact already. There is no way around higher productivities and higher productivities is not accomplished without higher levels of automation and digital impact. So we believe we are very well suited to their needs and therefore the artifact, if I may call it that way, now for the next couple of quarters, getting back to normal, to new normal will be overcome. The midterm perspectives for our industries in China is still very, very attractive. 
Ben Uglow: Understood, thank you very much.
Ralf Thomas: You're welcome, Ben.
Operator: The next question comes from the line of Andrew Wilson, J.P. Morgan, please go ahead. 
Andrew Wilson: Hi, good morning everyone, thanks for taking my questions. I've got two, both on SI, please. Just on the demand environment, you mentioned a couple or a number of large orders, I guess, in the quarter, and I appreciate that's not in itself exceptional, but we have been hearing about, particularly in light of higher interest rates, concerns around ordering patterns and deferrals and delays in some of these areas, and I guess I wanted to just get assurance that we're not expecting to see a step down in some of maybe those areas, which have obviously been a good supporter of growth in recent quarters. On the second question, it's just around the margin where I think the SI margin continues to be one of the consistently good news stories, I guess, quarter after quarter. Is there anything, again, it's really a sustainability question in the sense of, is there anything that we need to be aware of in terms of non-repeating there, or in terms of, I guess, sort of, supernormal benefit that we'd expect to reverse, or do we expect that to continue to be a good story as we kind of look into FY24 as well? Thank you.
Ralf Thomas: Thank you, Andrew. Let me start with the demand environment, and let me step back one more step, so to speak, because SI is in a completely different situation, also with regard to its geographical footprint globally when it comes to their customers. While DI, as I mentioned before, has only 12% to 15% of its revenues in the US, SI has around 40% of their revenues in the U.S., and is having a fairly limited exposure to China, less than 10%. So therefore, if and when similar patterns would occur in the product business, which is also done via distributors in China, the impact would be definitely by far lower. Secondly, in the U.S., I mean, we do see that SI is very well positioned, and the electrification business being driven, the scale, economies of scale that we see in the electrical products business, that's all well-prepared from a technological position of strength, also with investments being made like five, six years, which are now unfolding their beauty. We have been talking about that very confidently in the past, and I still remember the intense discussions we had back at our last Capital Market Day when you have been, for good reasons, challenging us, whether the margin perspectives are really realistically done in that relatively short period of time, and they delivered, they have a longstanding track record also for converting income or profit into cash. So therefore, we are very happy with their performance. In the margin, in the second part of your question, you have been touching on margins. I think the current margin levels are really a great accomplishment along the lines that we discussed and planned. The Competitiveness Program, they have been initiating back three years, is now reaching, so to speak, the peak of their activities, and they are executing perfectly well, even a bit above the levels originally planned. And what they also do very well is they have been initiating a strong focus on what we call resolving the economic equation. We saw material price inflation coming, we saw wages and merit increases coming, and they have been using the opportunities as technology leaders in many fields to also reflect that in their own pricing and put additional productivity measures in place. So the net positive of the economic equation is there and will remain to be there. However, we are not blind to the fact that there will be a timing difference in many regards when it comes to merit increases. We didn't see the peak yet on an annualized basis and therefore they will need to continue looking into pricing and also looking into further productivity. On top of that, also just to recall that they have been also working on their portfolio, have been cleaning out those businesses that have not been core to their activities and have been dilutive in the past. So they have been playing all keys on their piano and they did that very well and I have a high level of confidence they will continue doing so. And with regard to margin levels, I think November will be the right time to discuss that in numbers for the next fiscal year. I will not be disappointed.
Andrew Wilson: That's very clear. Thank you for all color.
A - Ralf Thomas: Thank you. Next question, please.
Operator: The next question comes from the line of Gael de-Bray, Deutsche Bank. Please go ahead. 
Gael de-Bray: Thanks very much. Good morning, everyone. I have also two questions, please. The first one is really a follow-up to the SI margin topic. I'm a bit surprised you did not raise the margin guidance for SI this year given the first nine months performance is already above the upper end of the range and Q4 usually sees some positive seasonality. So could you comment perhaps on this? And I know GCI warned that there would likely be some significant de-stalking, especially in fire and security in fiscal Q4. So is this something, for example, that you take into account and that you're afraid of? And then the second question is a longer term kind of equation for DI. Automotive is DI's biggest vertical. So as we think about all the EVs and battery manufacturing plans, especially in the U.S., I mean, could you firstly give us a range for your average content per plant? And generally, could you help us judge the scope and timing of this market opportunity for you?
Ralf Thomas: So thanks, Gael. Let me start with the aftermath on the SI margin. Of course, we are looking into that and I have been also looking into the statements that JCI and others have been making about the perspectives on the next quarter and next quarters. Of course, each and every of our peers has different patterns of distribution channels and so on. So what is likely happening in one of them must not necessarily be happening in ours. I would not consider that de-stocking in particular in fire and safety as a key driver for the performance of the next quarter. I mean, what we are just seeing and what we are mindful of is we have been very clear and crisp on we are investing at the same time. And we do have a very, very, very detailed understanding of where we put the next buck. So SI is definitely deserving more attention also from a capital allocation perspective when it comes to the overall portfolio. We seem to sit in the sweet spot of some industries at the moment pointed out electrification. So it's not only about harvesting, it's also about seeding. Need to strike the best possible balance in that field, obviously. And when it comes to margin ranges, I think, I mean, the decimals are hard to predict but the upper end, and that's what you have been indicating already is a pleasant place to be. And we also are kind of learning a bit from what the past has been telling us. So predicting in detail is not the intent but the direction is very clear. We are on the right path with SI margin development. We have been closing as promised the margin gap to peers step after step and they will continue doing so. They are very ambitious in that. And I would rather when I assess the situation for myself and when we do that in the managing board, we are rather looking into four, six quarters of future development than into the next one, which fortunately or unfortunately is the last quarter now in the fiscal year completing the picture for '23. But we are very, very confidently looking into the further development of SI.
Roland Busch: Yes, and from your longer term question for DI, here we are, we are very optimistic because we see that DI has a portfolio which is supporting all the trends which we in the market which keep on going and are even accelerating. What are the trends? I mean lower labor in the market, we have a de-risking or increasing resilience diversification which means new plans will be built all around the world, in particular in the receiving countries like Mexico, ASEAN countries, but also United States through the stimulus programs. So our portfolio is fully supporting this in terms of having an extremely high level of automation and digitalization. And this is exactly what these companies are looking for. Not only that, they're also looking for more agility in their manufacturing plant to manufacture really different kind of car models or what not to adapt to talk about batteries. They want to, they have a new development in batteries and they have to adapt quickly. This agility in the market, this is exactly what we are serving with our software defined PLC which we launched recently with a software stack which is extremely strong also on the shop floor which edge devices. So I mean, I cannot see any other company as a comparable portfolio in digital and hardware, connected hardware automation. Coming to your point on batteries, it's hard to say because it depends on how much of a battery plant has also upstream as the full chemical part in it or not. So what I can say is that we have already a very, very high market share, very high market share in any kind of automation, but also in electrification of these plants. These are high energy demanding plants. They need extremely high reliability, good quality. So it's not only DI, it's also SI supporting these battery manufacturing plants. But then comes the point that they have to ramp up quickly, the growth rates and the amount of investment while having still a quite comparable low yield. We have 16 different process steps, which have to be optimized and each of them has to have a very high yields to have a final high yield of the output. So there's still a lot of scrap going on. This can be tackled only if you go with a higher automation, but also having a digital layer on top, which is this digital thread, which really goes back to the formation of your batteries and all the way through our conclusion on how you're coding, how you're stacking, what you do there in the parameters. And this is really exactly where we are a number one investing in technology, but also show already proof points. Most of the battery manufacturers, most of them come from Asia. They go with Siemens technology when they go global, but also local in Asia. So therefore here we are quite optimistic that we will see a good tailwind for DI. 
Gael de-Bray: Thank you very much. 
Operator: Next question comes from the line of Daniela Costa, Goldman Sachs, please go ahead.
Daniela Costa: Hi, good morning, everyone. Thank you so much for taking my questions. I'll ask two as well. The first one, just going back to the guidance and to the fact that you keep it at group level, you've been very clear on the reasons why you lower DI. But then I guess sort of just interested on hearing in the other divisions, if it is fair to say that things should be coming towards the upper part of the ranges given the group isn't changed despite the DI being lower. So maybe just clarifying in there. And then the second question, just explicitly on DI and what you talked about for the dynamics in Q4, where the EDA kind of compensating for the SaaS drags, if that's something that is more of just the Q4 one off, or that's something that we should expect has a bit more of a prolonged trend into the next few quarters as well, where that EDA more than compensates for the SaaS drags that still remain. Thank you.
Ralf Thomas: Thank you, Daniela. And also thank you for doing the math quickly with regard to group level guidance. I mean, indeed, we are very confident about the other businesses. We saw quite stable development there, and we have been already discussing SI. I won't repeat all that. So they are on a very successful trajectory. Both top line and bottom line, and finally also converting into cash mobility has been a stable contributor, as you saw on the levels that we had been indicating before. They are also growing. We do have percentage of completion there in many fields. So therefore, don't expect a double digit growth in each and every quarter. But stable development and a lot of visibility, I can't comment for obvious reasons on Siemens health, and yes, they did that for themselves. So in the industrial businesses that we see, we are on a very successful trajectory. And I would also like to use that opportunity. We are very mindful of all the challenges, and we also will take an in-depth aftermath about the guidance we gave to you in the last quarter in DI and what happened in China. That big picture is we are outgrowing also in DI peers for many, many quarters, meanwhile. So we take the liberty to have a mid- and long-term view on the development, the fact that we will sit on a material backlog at the end of this fiscal year and have visibility into the next year, even accepting that there may be erratic patterns in some quarters. We see ourselves taking market share, having pricing power, and also resolving the economic equation with a net positive time. And again, I think we may say we are well prepared, and we will take the best out of that, what we can get in terms of winning market share without sacrificing profitability and harvesting an abundance of free cash flow. I had been mentioning that. So coming back to DI and the software impact, I mean, what we said, we are on our path to execute SaaS transition successfully. I think impressive growth opportunities that we have been taking there. So the PLM business is on its way, will be another year or maybe another year and a half before we can say we are done mainly with that transitioning. EDA, not being part of the SaaS transition, will remain a chunky business. We said that the funnel, we manage that as well as we can, but ultimately we follow the customer's voice. We will never push for a quarter to materialize a certain contract or not. We are carefully listening to that, what our customers tell us. So therefore, fourth quarter is extremely loaded with EDA business. I said that before. I never saw such an intensity in one quarter, but it just happened and the push out of that very project that we mentioned before from the third quarter to the fourth quarter is giving it more intensity. As we speak, we are exactly on plan and on track with executing that what we intend to deliver in the fourth quarter. So therefore, fourth quarter will be outstanding. Will be also outstanding in terms of EDA growth trajectory will be its double digit growth rate in revenues and also a very impressive margin going with that. So this is I think on a good trajectory to materialize as we speak and it will of course not repeat itself on a quarterly basis on those levels. What will repeat however itself is that we are winning time and again decisive customers in that field and this is a business that is very much built on trust and reliability and we are very reliable and trustworthy partner for our customers. That's why big players are putting all their trust into us when they have greenfield approaches in industries that Roland has been mentioning before and also when they further develop their IT landscape and their software landscape. So therefore, if you intend to measure or if we look at that business, it's not on a quarterly basis, it's rather on an average four or six quarters that are meaningfully assessing the trajectory and the success of the business. I wish it would be different to be honest, but this is the nature of this business and this is maybe also the flip side of the high profitability baked into that market. 
Daniela Costa: Thank you.
Operator: The next question comes from the line of Simon Toennessen, Jeffries, please go ahead.
Simon Toennessen: Yes, good morning Roland, Ralf and Eva, I've got two questions please, one on the DI margin and one on DI growth as a sort of follow up. On the DI margin, maybe you can give a bit more color on the margin changes, say between Q3 and the first half. I know you don't give software automation margin splits, but I would assume automation margins have been more like in the mid 20s with software margins probably more like mid teens. Is it fair to say that I guess without the huge operational gearing or less so in automation going forward, your margin usually sits around 20 in automation, at least historically. And so as you expect more normalization to come, how should we think about this a bit more structurally over the coming quarters? And then on DI growth, you've given a lot of color on this already Ralf, but you want guides for ‘24 yet, but you raised your market growth, your addressable market growth in the last quarter to I think about 8% growth in DI and you're obviously trying to grow above that. So it is fair to say that given the patterns you are describing now in China, this will be more of a story from I guess 2025 onwards and I guess despite the backlog, how worried are you about going into 24 now given you're facing I guess 19% growth comps in the first half of 24. I know you won't guide yet, but just a bit more color here would be help for given the sentiment change. Thank you so much.
Ralf Thomas: Simon, thanks for that question. I mean, these questions actually with the bundle of them, let me start with the growth momentum and whether I'm worried. I mean, Roland and myself, we are not paid for being concerned, but for finding ways to get things done and therefore we didn't have our budget discussions yet. So it's really very difficult to say anything on that matter. What I can say, however, and I would like to clarify and use this opportunity to clarify on China, what I said is there will be erratic patterns in the quarters. There will be a de-stocking process that will not be done in a quarter or two that will stretch into fiscal ‘24. But that does not mean that this is not good business for us with the ability and predictability in particular for book and bill in China may be challenging, but look at the growth rate. I mean, automation has been growing 15% in the quarter,. I do know only one peer that was on eye level. And if you look back into the last eight quarters, which is relevant for assessing whether or not you win market share, this other competitor was far away off. So I'm always worried and concerned what needs to be done, but we are not scared. We see ourselves acting from a position of strength. We are investing into the sweet spot of future growth markets. We are clearly leading in technology when it comes to critical also from a geopolitical perspective, critical technologies like batteries, like electrification. And we are definitely sitting and continue to sit on secular growth trends in automation and digitalization and ultimately contributing to sustainability. I personally could not wish for more, except having clear understanding what the next quarter is going to be in China de-stocking, for example. But this is naive to believe that my wish or further endeavor would have any impact on that. We need to live with that residual uncertainty for a while, but that does not keep us away from growing and outgrowing our peers. I think that's very obvious and I think the track record in real growth terms that we had in the past is somewhat underpinning that what I said here. When it comes to the margin game, if you would sit in front of myself, you would see my smile. I mean, we won't talk about margins and nominal levels, obviously. But what I can say is, I mean, we are making really extremely good progress when it comes to the SaaS transition and all the underlying working assumptions we had, including winning market share in the small and medium companies, which is a highly profitable market segment for PLM, is on its way and is developing quite nicely. The ratios that you saw on the chart Roland has been presenting are valid also on the way forward. The team is extremely committed and has good reason to believe that they will continue on that trajectory of success. And the ultimate goal for us was and still is that we get a more resilient, higher margin and more repetitive, higher growth business after that swallowing the fish exercises we call that. So being on that trajectory implicitly means that the software margin is going to play an even bigger role on the way forward. That doesn't mean that automation does not meaningfully contribute also in the future. I think we have a well-balanced set of investments underway and have been doing that already, that is strengthening both and is also paying into the combination of the two, which will be more and more relevant on the way forward when digital expertise is making a difference in our customers' business models to come. So very confident, still can share the margins, sorry.
Simon Toennessen: Thanks Ralf.
Operator: Next question comes from the line of Philip Buller, Berenberg. Please go ahead.
Philip Buller: Hi, thanks for the question. I've got a slightly philosophical one. I understand the disappointment that we've had from Siemens Energy. Clearly, [SGRE] was a challenge when you were the majority shareholder too. It's just very hard to know what's going on and control the financials of any business when you don't have full operational control. I guess that's true as a minority holder, but also when we're majority shareholders. So the question really for Roland is how has your thinking or philosophy evolved with regard to holding assets which you don't directly operate, which can have a material impact on your own share price? And that's not a question specifically for Siemens Energy, but more in relation to any evolved thoughts you might have on health in is, has the view on the structure there changed at all? And of course, how might we think about this and future informed views on potential spinouts or M&A? Thanks.
Ralf Thomas: So let me start with my disappointing message for Siemens Energy and Siemens Community Renewables. This is indeed a very disappointing message and in particular because we still don't know what's happening next, so it's uncertainty on top of the impact obviously. So let me go back to Siemens. So I guess what we have proven is that we know how to run businesses, how to turn around businesses, think about smart infrastructure, where they're coming from when we started off with our infrastructure and city sector where some people called it the bad bank and look where the businesses are. Secondly, we really want to look into all our businesses and have champions under our hood. So and if they are not champions, then we move that in that direction, closing margin gap, outperforming in top line. We do that based on a solid grip, a strong management, we have people, but also on having a very solid technology base, which we are leveraging across the company. And this is something that we see in a market that the technology base is more important because, believe it or not, but sustainability demand, digitalization demand, it's pulling down silos. Customers are asking for more than just a product which does click-cluck on a shop floor or switches electrons, they really look for a solution for the sustainability challenge of our transformation. This is the big advantage Siemens has got because we are basically deploying a very, very solid technology base into our customers' operations, whether they are, is it in the way how they design, how they manufacture or how they operate assets. And this is the underlying topic. Does it mean that each and every technology skills across the board? No, that doesn't, but it's quite a bit of junk. Think about cybersecurity offerings, think about Edge devices, think about our 5G networks. They will be deployed more and more. Think about Edge technology, AI technology, and I can go on and on and on, and on top comes a very solid software stack, technology stack. On a side note, Siemens Accelerator is basically putting the umbrella on top of this technology to really bring it faster to the market, expanding it also to small and medium-sized customers who are going to buy digitally rather than being served by people on the feet on the street. So this is what we're doing. And at that light, we're looking into any kind of ways how we can deploy our technology in a broader sense in order to create more value for us, for Siemens, for our stakeholders, but also for our customers. And this is the philosophy in all dimensions, if it comes to portfolio. For M&A, for example, we are looking, of course, also to adjacent markets where we can deploy technologies. One good example is the supply frame, where we are saying this is really a market of marketplaces, and we are, we are investing it, and I think it was the right timing, the right thing to do. And this is the way how we should look at it. We are looking from a neighbor's perspective also in the software space on adjacent markets where we can do something create more value, and the same holds true for our verticals which we are serving. And that's the story. And last point, since you mentioned half an years in the context of Siemens energy, I would say, I would draw a hard line here. I mean, Siemens, Health and Health is a really outperforming company. Yes, they do have some topics on diagnostics, but at the end of the day, this is really a top technology company. They know what they do. And for the other topics which are still not there yet, we will get there.
Philip Buller: Thank you. And then just a follow-up in terms of the balance sheet optionality now, you're at 0.8 times levered versus a target of one and a half. How should we think about near-term M&A? Is there a specific focus area for you, or are you considering using the cash for other purposes? Thanks.
Ralf Thomas: If you allow, I take that because we always said and will continue doing, we don't spend money when we have it. We have money to spend if we need it. And therefore, the fact that we have such a strong cash flow and a balance sheet that is also now recognized to have an even better rating associated, this is something we expected and we had been guiding also into that direction that doesn't have an impact on the next quarter's M&A behavior. We will do the right thing at the right time, and we obviously do have the means to do so.
Philip Buller: Thanks.
Eva Scherer: Thanks a lot, Ralf. With that, we will conclude the call. Thanks a lot to everyone for participating today. As always, the team and I will be available for further questions. We wish you a relaxing summer break and look forward to meeting many of you in September on various occasions. Have a nice rest of the day and goodbye.